Operator: Good morning. My name is Regina and I will be your conference operator today. At this time, I would like to welcome everyone to the Wells Fargo Second Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question and answer session. [Operator Instructions] I would now like to turn the call over to Jim Rowe, Director of Investor Relations. Mr. Rowe, you may begin your conference.
Jim Rowe : Thank you, Regina, and good morning everyone. Thank you for joining our call today where our Chairman and CEO, John Stumpf, and our CFO, John Shrewsberry will discuss second quarter result and answer your questions. This call will be recorded. Before we get started, I would like to remind you that our second quarter earnings release and quarterly supplement are available on our website at wellsfargo.com. I’d also like to caution you that we may make forward-looking statements during today’s call that are subject to risks and uncertainties. Factors that may cause actual results to differ materially from expectations are detailed in our SEC filings; including the Form 8-K filed today containing our earnings release and quarterly supplement. Information about any non-GAAP financial measures referenced, including a reconciliation of those measures to GAAP measures, can also be found in our SEC filings, in the earnings release and in the quarterly supplement available on our website. I will now turn our call over to our Chairman and CEO, John Stumpf.
John Stumpf : Thank you, Jim. Good morning and thank you for joining us today. We earned $5.7 billion in the second quarter, as our diversified business model continued to generate strong loan and deposit growth. Our financial strength and competitive position have allowed us to capture opportunities for growth both organically and through acquisitions. In addition, our commitment to managing risk and a benefit of an improving housing market continue to improve our credit results. Let me highlight our growth this quarter compared with one year ago. We earned $1.03 in earnings per share, up 2% from a year ago. We generated $21.3 billion of revenue, up 1% from a year ago with 4% growth in net interest income. We had broad based loan growth with total loans reaching a record $888.5 billion and our core loan portfolio increased by $68.5 billion or 9%. Our growth benefited from the $11.5 billion GE Capital loan purchasing and financing transaction in the second quarter. Our deposit franchise continue to generate strong customer and balance growth with average deposits up $83.8 billion or 8% while we reduced deposit costs. We also grew the number of primary consumer checking customers by 5.6%. Our credit performance continued to improve and our net charge-off rate declined to 30 basis points of average loans, the lowest level in 20 years. Our financial performance resulted in strong capital generation and returning capital to our shareholders remains a priority. We increased our quarterly dividend rate by 7% to 37.5 cents per common share and we repurchased 36 million shares of common stock. We’ve reduced our common shares outstanding for five consecutive quarters with shares down 105 million from one year ago. While recent developments in Europe and Asia have implications for the US economy, the ongoing US economic expansion has remained on track and has entered its seventh year, a feat accomplished only four other times in the US history. The labor market continued to recover with a record 57 consecutive months of payroll gains and housing activity has been especially encouraging with second quarter position to be the best quarter performance sales since 2007. These factors, along with an increase in consumer confidence makes me optimistic that the economic expansion will sustain momentum into the second half of the year and Wells Fargo should benefit from the increase in economic activity as we remain focused on meeting our customers’ financial needs. John Shrewsberry, our Chief Financial Officer will now provide more details on our second quarter results. John?
John Shrewsberry: Thank you, John and good morning everyone. My comments will follow the presentation included in the quarterly supplement, starting on Page 2. John and I will then answer your questions. Our results this quarter is straightforward and demonstrate momentum across a variety of key business drivers. We continue to have strong loan and deposit growth across our diversified businesses. We grew net interest income with earning asset growth and our net interest margin improved. Many of our customer-facing businesses generated strong fee growth. Credit quality improved and we had lower net charge-offs and a higher reserve release and we continued to operate within our targeted ranges for ROA, ROE and efficiency. Let me now highlight these key drivers in more detail. On Page 3, we highlight the year-over-year growth John emphasized in his remarks including revenue, loans, deposits and EPS as well as improving credit. Turning to Page 4, we continued to benefit from the strength of our balance sheet which has positioned us well to take advantage of growth opportunities and to prudently deploy liquidity. Short-term investments and FED funds sold were down $59.1 billion from the first quarter reflecting loan growth, security purchases and lower deposit balances driven by seasonality in our consumer businesses and repricing in certain wholesale businesses. Our securities portfolio grew $16 billion from the first quarter. We purchased approximately $36 billion in securities primarily agency MBS, US treasuries and municipal securities which were partially offset by maturities, amortization and sales. Turning to the income statement on Page 5, it’s important to note that the linked quarter decline in earnings was driven by the $359 million discrete tax benefit recognized in the first quarter. Our pre-tax earnings increased $386 million or 5% from the first quarter, demonstrating the underlying momentum we had across our businesses. Revenue increased $40 million from first quarter with strong growth in net interest income, up $284 million reflecting growth in earning assets. We had linked quarter growth and fee income in most of our customer-facing businesses including deposit service charges, trust and investment fees, card fees, merchant processing, commercial real estate brokerage, mortgage and insurance. However, non-interest income declined $244 million from first quarter due to lower market-sensitive revenue and lower other income driven by the accounting impact related to our debt hedges. Expenses declined, despite an increase in operating losses related to litigation accruals and we generated positive operating leverage. As shown on Page 6, we continued to have strong loan growth in the second quarter, our 16th consecutive quarter of year-over-year growth. Our core loan portfolio grew by $68.5 billion, or 9% from a year ago and was up $29.5 billion from first quarter. Our growth was broad based which I’ll highlight on the next slide and included $11.5 billion from the GE Capital loan purchase and financing transaction. This transaction is an excellent example of how the combination of our balance sheet strengths, the expertise of our team members and our relationship focus positions us to capture opportunities for growth. 67% of this portfolio is US-based with the remainder of the portfolio predominantly in the United Kingdom and Canada, which are active lending markets for us. The loans we purchased were to over 145 different customers while we had existing relationships with many of these customers, the transaction has provided us with a meaningful number of new relationships which we believe will lead to additional opportunities for new business. It’s also important to note that we didn’t acquire these loans until late in the quarter, so while it increased ending loan balances, most of the benefit to average loans and to net interest income will be reflected in the third quarter. On Page 7, we highlight the diversity of our loan growth. C&I loans were up $36.6 billion or 15% from a year ago, the GE Capital transaction drove $4.2 billion of this growth primarily from the financing to Blackstone Mortgage Trust. The rest of the growth was diversified across our wholesale businesses with double-digit year-over-year growth in asset-backed finance, equipment finance, corporate banking and government and institutional banking. Commercial real estate loans grew $10.2 billion or 8% from a year ago and included $7.3 billion from the GE Capital transaction. Core one-to-four family first mortgage loans grew $15 billion or 7% from a year ago and reflected continued growth in high-quality non-conforming mortgages. Credit card balances were up $3.9 billion or 14% from a year ago, benefiting from strong new account growth and the Dillard’s portfolio acquisition in the fourth quarter of last year. Auto loans were up $3.7 billion or 7% from last year. New originations reflected the strong auto market and were up 5% from a year ago and up 15% from first quarter benefiting from seasonality. As highlighted on Page 8, we had $1.2 trillion of average deposits in the second quarter, up $83.8 billion from a year ago and up $10.5 billion from first quarter. Our average deposit cost declined 8 basis points, down 2 basis points from a year ago. The decline in ending balances reflected the seasonal impact to consumer balances due to income tax payments and repricing in certain wholesale businesses primarily global financial institutions. We continued to successfully grow our primary consumer checking customers which were up 5.6% from a year ago and our primary small business and business banking checking customers increased 5.3%. Our primary customers have more products with us and are more than twice as profitable as non-primary customers. Page 9 highlights our revenue diversification in the balance between spread and fee income which has shifted slightly to more net-interest income as we benefited from strong earning asset growth. Our earning asset mix results and diversified – results and diversified sources of interest income, the drivers of our fee generation are also diverse and vary based on interest rate and economic conditions, for example, market-sensitive revenue which includes trading gains from our – trading and gains from our debt and equity investments declined 21% from first quarter, market-sensitive revenue was 8% of our fee income in the second quarter, down from 11% in the first quarter, however, many of our other customer-facing businesses generated higher fee income. We grew net interest income on a tax equivalent basis by %524 million or 5% from a year ago, reflecting strong growth in average earning assets, up 11% from a year ago. The $312 million increase in net interest income from first quarter reflected growth in earning assets and one extra day in the quarter. Net interest income also benefited from increased income from variable sources, lower deposit cost and higher income from interest rate swaps used to convert a portion of our floating rate commercial loans to fixed rate as we continue to add duration to our balance sheet. The net interest margin increased 2 basis points from the first quarter. This is the first linked quarter increase in the NIM since the first quarter of 2012. The increase this quarter was driven by balance sheet repricing and growth including growth in investments and loans and lower deposit cost which benefited the margin by 4 basis points. Higher variable income from increased loan fees, semi-annual preferred dividends and PCR recoveries contributed 1 basis point to the margin, customer-driven deposit growth reduced the margin by 3 basis points but had minimal impact to net interest income. Our balance sheet remains asset-sensitive and we are positioned to benefit from higher rates. However, we believe we can grow net interest income in 2015, compared with 2014 even if rates remain low. Total non-interest income declined $244 million from first quarter, driven by lower market-sensitive revenue and lower other non-interest income. The other non-interest income category was down $426 million in the second quarter driven by the accounting impact of interest rate and currency hedges associated with our long-term debt. We are required to measure the hedge effectiveness quarterly and while the net impact is expected to be zero over the term, quarterly interest rate and currency volatility can cause this line item to vary from quarter-to-quarter. It’s important to note that while total non-interest income declined, if you exclude market-sensitive revenue and other income, we had strong diversified fee growth across our other fee categories demonstrating growth from doing more business with our customers. In fact, second quarter was the strongest quarter over the past five quarters for brokerage, trust and investment management, card, merchant processing, insurance and mortgage origination. Mortgage banking revenue increased up $158 million from the first quarter on higher origination volume, up $13 billion or 27%. Second quarter had the highest level of mortgage production since the third quarter of 2013, 54% of originations before purchases up 45% in the first quarter. We ended the quarter with a $38 billion application pipeline, up $8 billion from a year ago and down $6 billion from first quarter. Based on the current rate environment, the level of our pipeline and the seasonal slowdown in the purchase market, we currently expect originations in the third quarter to be lower than the second quarter. Our gain on sale ratio was 188 basis points in the second quarter and we currently expect the third quarter ratio to remain within the range of the past five quarters between 140 and 210 basis points. As shown on Page 12, expenses were down $38 million from the first quarter, the decline was primarily due to lower employee benefits expense which was seasonally elevated in the first quarter. Operating losses were $521 million in the second quarter, up $226 million from the first quarter reflecting higher litigation accruals for various legal matters. While we continue to invest in our businesses reflected in higher professional services and advertising expenses in the second quarter, we remained focused on operating efficiently as indicated by our efficiency ratio improving to 58.5%. We expect the efficiency ratio for the full year 2015 to remain within our targeted range of 55% to 59%. Turning to our business segment, starting on Page 13, community banking earned $3.4 billion in the second quarter, down 8% from first quarter which included the discrete tax benefit. One of the drivers of our long-term growth is our ability to grow retail bank households. Year-to-date through May, we’ve had the strongest household growth in four years. This strong growth reflects our success in attracting new customers to Wells Fargo as well as the benefit of better retention of our existing households as we remain focused on meeting their financial needs. This focus has also resulted in an increase in total products held by our customers. For example, we’ve been successfully growing the penetration rate of credit cards to our retail bank households which has grown to 42.6% in the second quarter, up from 39% a year ago and 34.9% two years ago. Credit card purchase volume was up 15% from a year ago reflecting an increase in new accounts; debit card purchase volume was up 8% from a year ago benefiting from the strong growth in primary checking account customers and increased usage among existing customers. Wholesale banking earned $2 billion in the second quarter, up 3% from a year ago and 12% from first quarter. Wholesale banking continued to have strong loan and deposit growth. Average loans grew 12% from a year ago with broad based growth across most wholesale businesses. This growth in average loans did not fully reflect the benefit of the GE Capital transaction reported late in the quarter. Average core deposits grew 14% from a year ago and flat linked quarter reflecting pricing actions we took in the second quarter to reduce deposit costs. The strong loan and deposit growth helps grow revenue by 2% from a year ago. Treasury and management revenue grew 10% reflecting new product sales and repricing. Second quarter revenue also benefited from higher equity gains from the sale of certain equity fund investments driven by the Volcker Rule. Wells Brokerage and Retirement had another record quarter earning $602 million in the second quarter, up 11% from a year ago and up 7% from first quarter. WBR’s pre-tax margin was 26% in the second quarter exceeding its long-term target of 25%. Revenue grew 5% from a year ago, driven by higher recurring sources of revenue. Net interest income increased 12% and asset-based fees were up 7%. Brokerage advisory assets grew $434 billion, up $25 billion or 6% from a year ago, primarily driven by net flows. WBR’s strong loan growth continued with eight consecutive quarters of year-over-year growth. Loan growth accelerated this quarter up 16% from a year ago, the strongest growth rate in over six years. Growth was broad based with strong client demand across a number of product offerings. Turning to Page 16, credit quality in the second quarter improved. Our net charge-off rate declined to 30 basis points of average loans. Non-performing assets have declined for 11 consecutive quarters and were down $438 million from first quarter. Non-accrual loans declined $67 million from first quarter as higher energy non-accrual loans were offset by improvement in residential real estate as well as other categories. The reserve release was $350 million in the second quarter. The increase from first quarter was driven by continued credit quality improvement, most notably, significant improvement in residential real estate. Our credit losses in our residential real estate portfolios declined 22% and non-accrual loans declined $388 million or 4% from first quarter. It’s important to note that even small changes in the performance of our residential real estate portfolios tend to out way changes in other portfolios, given the size of our residential real estate portfolio was 36% of total loans. We had an increase in non-performing loans in our energy portfolio. Oil and gas loans are only 2% of our total loan portfolio and balances in this portfolio declined by approximately $700 million from first quarter reflecting pay downs. Our energy team completed their spring re-determination process during the second quarter and as expected, the drop in energy prices did impact the cash flow and collateral values of a number of our borrowers leading to downward portfolio migration. The deterioration in this portfolio is reflected in our allowance for credit losses and we will continue to monitor the energy portfolio. Finally when considering our allowance, it’s important to note that the loans we acquired from GE Capital were accounted for under purchase accounting under GAAP and reflected a lifetime credit loss adjustment and therefore did not require additional loan loss reserves typically associated with commercial loan growth. Turning to Page 17, our capital levels remains strong with our estimated common equity tier-1 ratio under Basel-3 fully phased in at 10.5% in the second quarter. We returned $2.9 billion to shareholders in the second quarter through dividends and net share repurchases. Our common shares outstanding declined by 17.7 million shares in the second quarter reflecting 36.3 million shares repurchased and 18.6 million shares issued. We expect to reduce our common shares outstanding through share repurchases throughout the remainder of the year. Our dividend payout ratio increased to 36% in the second quarter, as we increased the quarterly dividend rate on our common stock by 7%. Our net payout ratio in the second quarter was 54%. The decline in our net payout ratio reflected our strong asset and RWA growth as our first call for capital is for providing credit to our customers. However we remained committed to returning capital to our shareholders and we expect our net payout ratio to be within our targeted range of 55% to 75% for the full year. In summary, our second quarter results demonstrated the benefit of our diversified business model with strong loan and deposit growth and momentum in non-interest income across many of our customer-facing businesses. Our strong liquidity position and capital levels position us well to serve our existing customers while growing our customer base organically and through acquisition. The improvement in credit quality demonstrated our continued focus on risk management. While the current interest rate environment remains uncertain, we are actively managing our expenses while focusing on meeting our customers’ financial needs to generate growth. We will now be happy to answer your questions.
Operator: [Operator Instructions] Our first question will come from the line of Ken Usdin with Jefferies. Please go ahead.
Ken Usdin : Thanks, good morning.
John Stumpf: Good morning.
Ken Usdin : John, I was wondering if you could just give us a little bit more on your confidence about the economic environment versus the commentary about the competition out there. So we know you guys are going to get a great benefit looking ahead from the averaging of the GE. So on one, could you just kind of flush out the pockets of loan growth that you continue to expect and then also, do you anticipate being able to at least be in a pole position to get some more of those GE assets? Thanks.
John Stumpf: So, there are variety of loan categories that deserves to be mentioned individually, but you know we are aggressively growing the card business with our existing deposit customers and percentage gains there will probably continue to be very strong. Autos in spite of the heat in that market and our public posture of wanting to maintain our credit discipline still are providing a big opportunity because so many cars are being sold. So and that’s a continued opportunity. Still a lot going on in commercial real estate and as you mentioned the GE Capital loans helped us late in the third quarter there. Jumbo loans on the residential side have been growing on the balance sheet at the same strong pace for a long time and we continue to – we expect to see that there. Across the C&I range, we mentioned several of the businesses that have slightly independent but all attractive growth prospects. The utilization of lines across the variety of corporate and commercial loan categories is still in the, call it mid to low 30s. So there is room for that improvement and we keep gathering new customers in those businesses as well. So, it’s really is coming from everywhere at attractive basis.
John Shrewsberry: Yes, Ken, there is a fair amount of capacity to carry more debt by medium size companies, small companies and consumers. Rates are very favorable and most Americans businesses and consumers have de-risked and deleveraged their balance sheet. So there are opportunities and we are very active on main street and on the back 40 working with the customers. So, we love this opportunity to do the GE thing, but organic relative still the main part the way we grow.
John Stumpf: And with respect what there still might be to do with GE, there have been some portfolio sales that have been announced there since the one that we worked on. We are working as closely as we can with them. They are a great relationship of ours. There are our businesses that they are trying to dispose of that fit neatly with our expertise. Some things were going to be very competitive with and some because we are not expert in them will be less so. But we are working hard. We hope that that turns incremental opportunity to do more of what we’ve done on the commercial real estate side and we’ll be hearing about that in the coming months as their processes unfold.
Ken Usdin : Okay, great. And I have – just to follow-up on the energy portfolio shrinkage, you spoke about the $700 million decline, I am sure that we’ll have the questions about the NPA growth. Could you talk about just what you are seeing in the energy side? Is that active? Like push outs by you guys, is it the equitization coming in and taking out credits? Can you just talk about like how that portfolio behavior is acting and how that influences your provisioning decisions?
John Stumpf: Sure, so, I would describe the reduction in the principal balance as borrowers taking their balances down and just to conform with their borrowing base reductions and as I mentioned that was about $700 million of reduction in the second quarter. There was a lot of capital being raised in the first quarter; capital markets activity was very brisk in the first quarter. A little bit slower in the second quarter and a lot of that was equity coming in to stabilize balance sheets. It feels like that slow down just a little bit as people process what happened in the first quarter. So we don’t anticipate loan balances or new loan activity to be terribly brisk in terms of leading to higher outstandings at Wells Fargo in the second half of the year. But the market is acting very rationally. The market is acting very quickly. The opportunists are arriving at the door and trying to work things out, create business combinations and take advantage of the situation to resolve it. So, things are happening frankly a little bit faster than we might have anticipated sitting here six or eight months ago.
Ken Usdin : Thanks, John.
Operator: Your next question comes from the line of Joe Morford with RBC Capital Markets. Please go ahead.
Joe Morford : Good morning everyone.
John Stumpf: Hello, Joe.
John Shrewsberry: Hey, Joe.
Joe Morford : I guess just a follow-up on the credit trends within the energy portfolio. With the borrowing base re-determinations finalized, I mean, you touched on this, but how is performance tracked relative to initial expectations and how much of the increase in the related non-performing loans stems from that as opposed to the shared national credit exam?
John Stumpf: Well, it’s a combination of both and it’s tough to call out specifically what the regulators might have independently wanted that we wouldn’t have agreed to or gotten to on our own. I mean, the outcome is what it is and if we had about a $400 million increase to non-performing assets in energy for the quarter, which feels like it makes sense. And to the extent that some of those were very conservative estimations of NPA status I think and that will be recaptured in the back-end of the process when those loans get worked out which is fine. We had very nominal losses in the quarter and we’ll go into a fall re-determination for E&P companies as well and we’ll measure the performance of the midstream and services companies at the same time. We feel great about where our allowance is right now as you may recall they had an impact on our first quarter number even though that was pre re-determination and has an impact again on the second quarter number and who knows as the third and fourth quarter roll through, I am sure that there will be more loans that are at issue. The whole portfolio amounts to 2% of our loan portfolio, we feel very well reserved for where we are. We’ve got the best team in energy banking and our credit folks working through the portfolio. So, it’s - the impact here is relatively immaterial to Wells Fargo. And we as we called out in our comment, especially in a quarter like Q2, minor changes in our residential real estate portfolio have a tendency to dwarf whatever is going on in energy because 36% of the loan portfolio is in single-family real estate and 2% is in energy.
John Shrewsberry: Joe, I would offer this, since I’ve been on a long time, I think this is my third or fourth cycle I remember doing workouts in this business in the early 80s. This one is different in that – the energy participants whether they be on the E&P side or midstream, whatever it is, I am more conservative. They tend to be better capitalized, be rapid, more quickly through reducing their CapEx budgets, some case reducing dividends and some of the real stretchy stuff was done outside of our industry if you will. So, that mean that all situations are going to workout, but, they wouldn’t – and reacted much more quickly than I have seen in the past cycles.
Joe Morford : That’s very helpful. Big color. I guess, have you quantified what you have in terms of dedicated reserves against the energy portfolio and as you point out, given that, things like single-family is such a bigger part of the overall loan portfolio and what’s your broader outlook for the provision and the possibility of any future reserve releases?
John Stumpf: So, we are bumping along here at 30 basis points of annualized net losses on the total loan portfolio and as we called out in the past, we shouldn’t expect releases in any given quarter because it’s going to – the calculation heats quarter of the allowance is going to include the observed portfolio of the portfolio is going to include general economic conditions is going to include where the growth is coming from in the mix in the portfolio. So, I would not model in release of this magnitude going forward and of course, as we’ve said, we keep building our loan portfolio, you’d expect to see builds often – things being equal. Separately, we also called out in the case of GE, if we are growing our loan portfolio by acquiring loans, and we invoke purchase accounting, then that’s a complicating factor and whether the allowance is growing or not because the mark on the loans reflects the lifetime credit adjustment. So that’s a little complicated. But – so, and for our own internal purposes, of course there is an allocable component of the allowance that reflects what we think a loss – the inherent loss content is in the energy portfolio and that will grow or shrink depending on how the portfolio performs. And as I said, I would assume that the next couple of quarters how much better than the last quarter in terms of we are still resolving these issues, some of them are just coming to life for certain borrowers but it’s a very contained portion of our loan portfolio and the aggregate impact should not be material for Wells Fargo.
Joe Morford : Understand. Thanks so much.
John Stumpf: You bet. Thank you.
Operator: Your next question will come from the line of Erika Najarian with Bank of America. Please go ahead.
Erika Najarian : Hi, good morning.
John Shrewsberry: Good morning, Erika.
Erika Najarian : Just wanted to take a step back, as we enter potentially a rising rate environment in the second half of the year fingers crossed, one of your peers they meant, mentioned, anticipating a significantly more competitive environment for retail deposits given the regulators have essentially said, there are good deposits and bad deposits this time around. And secondarily, they also mentioned entering new markets for the first time and de novoing. I guess, the first question is, how should we expect Wells Fargo’s repricing to progress actually rise on the short-end, secondarily, given the impressive footprint that you’ve built, how would you defend that market sharing footprint against those that are aggressively trying to grow retail deposits, particularly for regulatory purposes?
John Shrewsberry: Erika, let me start with that. It’s a great question and not all retail deposits are credit equal. You know our focus here has been on relationships and we think relationships on the consumer side start with a consumer checking account. In fact, I don’t have this exactly but I think it’s 86% of our retail customers have a checking account with us it’s their primary account they live out of that. And if you look at certificates and deposit, it’s less than $35 billion here. So it’s a couple percent of ours. So that’s a very different deposit make up and like other companies in our industry, we had a lot of experience in rates backing up. And the speed of the backup matters where it starts from, a move from 300% to 400% is different from a move from nothing to 1%. And also where you employ those more expensive deposits, will you find offsetting earning assets to employ those. And, I recall the last time we went through this, we had very aggressive deposit competitors who are using those deposits to fund businesses acquired to sell models in the real estate business for example. So it was used. So, we’ve been through a lot of different things. We’ve modeled this. If I were a bettering person, I would bet that we’ll probably be favorable to our model suggest early in the backup, but I think one of the great under valued parts of our business today is the quality of our deposit franchise and you’ll see that in the backup.
John Stumpf: And to the point of entering new markets, well, we adjust our store footprint meaningfully every year by opening and closing stores where we see fit, I think as Carrie Tolstedt has described in our last Investor Day, we believe that we need a certain amount of scale in any urban market before we can really make a difference and we are in most of the markets that we like to be in, and of course we are not going to get there through acquisitions. So, it would seem unusual for us to commit to building, for example, hundreds and hundreds of stores in a new major urban center that we are not already a part of. So, I wouldn’t think about that as part of our next stage plan.
Erika Najarian : Got it and just a follow-up on some of the comments, John, thank you for telling us how you accounted for the GE purchase. How should we think about your capital progress relative to further, or incremental loan purchases? As I think about the past three quarters your CET1 ratio has been fairly stable at about 10.5%. If you are using purchase accounting for larger loan purchases, of course that would impact CET1 and I guess I'm wondering sort of what your thoughts on the – you know whether you may account for purchases differently going forward, as you consider the CET1 progress particularly in light - in terms of some commentary, you've heard from regulators recently about including CET1 surcharges in the CCAR test?
John Stumpf: Sure, well, so the first call on our capital is for our customers, including prospective customers if we were going to add either an originator or acquirer portfolios of loans. I don’t think there is any accounting theory out there that would allow us to add loans without impacting common equity tier-1. I mean, it’s – that’s risk-weighted assets are what is for. So if we had a bigger opportunity to grow RWA faster and the way that we thought was very attractive for shareholders, then we would probably do that and if we need to do, for example, curtail distributions and for some period of time in order to retain the capital to create that outcome, then we would probably do that. As we’ve told people in our capital planning process and describing it, we want to keep as much capital as it’s appropriate and necessary to grow the business and that’s primarily by growing RWA and we want to distribute everything beyond that and which is about where we’ve been operating. So if there were a bigger RWA opportunity, we would measure where we were starting from, we would understand what sort of capital generation was going on at that time and it’s possible, we would end up retaining a little bit more in order to maintain satisfactory levels while growing assets.
Erika Najarian : Got it. So I am clear on the takeaway. Any portfolio purchases from has to be life of loan accounting in terms of the losses?
John Stumpf: Yes.
Erika Najarian : Okay. And just a quick follow-up to the GE portfolio, you did add this quarter you mentioned that we need to consider the average balance impact. Are there any considerations on the average yield impact, as we think about the third quarter?
John Stumpf: For average yield of the loan portfolio?
Erika Najarian : Yes, in terms of…
John Stumpf: Yes, the GE loans fit right into the averages that we already had. So it’s really more balanced.
Erika Najarian : Got it. Thank you so much.
Operator: Your next question will come from the line of Bill Carcache with Nomura. Please go ahead.
Bill Carcache : Thank you. Good morning. I wanted to ask a question on margins. Part of the NIM compression that we have been seeing for so long has obviously been in part due to all the excess liquidity that's been getting parked at the FED as deposit growth has significantly outpaced loan growth really at a system-wide level. But today, we saw one of your competitors reported a decrease in deposits both sequentially and year-over-year while still putting up pretty solid loan growth, and you guys also saw your loan growth outpaced your deposit growth this quarter. So, I guess the question is, do you think we're at an inflection point where we'll no longer see deposit growth continue to exceed loan growth and if so, does that suggest that that we should begin to see some continued improvement in NIMs going forward?
John Stumpf: Let me take the deposit side first and then John can do that. If you – one quarter does not make summer as one sparrow if you will, if you look at the last year, we grew average deposits b y almost $84 billion and our core loan portfolio grew $60 some billion, if you take our overall loan portfolio, it was in the $40 billion to $50 billion. So we actually outgrew deposits by some $20 billion or $30 billion on an annual basis. The first quarter is always kind of a funny quarter when you compare to the second quarter or second quarter to the first quarter because of the tax impact, because we have such a large retail deposit base. So, we look back, I think to 1945, I think all but one year, we grew deposit. So, whether we can outgrow or not outgrow, we sure like our opportunities continuing on the deposit side, because after all we are growing net new consumer checking accounts primary by 5.6% and on small business we are growing by 5.3% or 4%. These are the strongest numbers I’ve seen in the last couple of years in my history at the company. So these are very, very strong acquisition numbers.
John Shrewsberry: So, one thing I have to mention about the industry and I am sure you are thinking about this. But, we are in a slightly different position but there are some other larger banks that are discouraging deposits because of the adverse impact on leverage ratio, the adverse impact on the GSIB buffer calculations, et cetera and people have been vocal about getting out there and trying to move those deposits out of their banks to take their numbers down and those are in the same deposit numbers that you are referring to. So, it’s a little bit complicated I think, bank-by-bank as you are looking at it. Ours is as John described. And we are also not shrinking our store count and we have found that, in our omni channel distribution, where you have stores or locations ATMs, phones, online and mobile, it’s the magic of all those working together. And that’s a very strong compelling value proposition for our customers.
John Stumpf: At both attracting retaining deposits and then back to Erika’s question about what happens in a backup, people who want to move away from Wells Fargo are moving away from that value proposition that’s provided to them basically for free in exchange for having their relationship at Wells Fargo.
Bill Carcache : Thank you. If I may, as a follow-up, the amount of liquidity that you are holding at the said FED, you mentioned fell this quarter from an all-time high of $291 billion, I believe last quarter. Is it reasonable to expect that to continue to fall from here as you redeploy more of that into higher-yielding loans and securities? And taking LCR into consideration and the constraints there, can you give us a sense for where we could see those balances go?
John Shrewsberry: Well, it depends on what’s happening on other fronts including ongoing deposit growth. But, I wouldn’t forecast it as coming down, but as we’ve described before, there is probably tens of billions of dollars of room from where we are today to where that balance might go before we started to having any difficult discussions about LCR. So there is plenty of room from where we are today.
Bill Carcache : Okay, thank you for taking my questions.
Operator: Your next question comes from the line of Paul Miller with FBR Capital Markets. Please go ahead.
Paul Miller : Yes, thank you very much. Talking a bit about the mortgage side, when we saw rates go up, but I think a lot of – when the volumes have held in very strong, some of that I think is the – as the refi pipeline coming out of first quarter, but - can you talk a little bit about what you are seeing in the purchase market world? Is it really starting to make a comeback?
John Shrewsberry: So, yes, it was a strong quarter and I mean, strongest in a while, it doesn’t reflect the pre-crisis types of activity at this point. It’s strong in a handful of individual markets, California, New York, Southern Florida, Denver or particular markets where we’ve seen a lot of strength. First time home buyers are a little bit stronger at about 30% of home purchases. We saw that our purchases as a percentage of originations were 54% this quarter versus 45 the prior quarter as you mentioned, the second quarter had a lot of refis closing in it that were locked in the first quarter when rates were very low. So, when we think about new application volume in the second quarter, my guess is, as that flows through in Q3 that number will be even higher. All things being equal, because rates did backup meaningfully in the quarter. So, the business is good. There is plenty of credit available. We are obviously as enthusiastic and committed to it as we’ve ever been. Margins have been holding in there nicely and the pipeline looks quite good actually.
Paul Miller : And then, go ahead.
John Shrewsberry: One last thing I’d add is that, all of that is a reflection of continued affordability while home prices have moved, there is still affordable, while rates have moved they are still affordable. So, that’s helping a lot and we’ve had an improving jobs market which brings more people into eligibility for a purchase or a refinancing.
Paul Miller : And then you saw the – I mean, everybody saw the [Indiscernible] has been pushed back another three months. Do you see any impact on the mortgage market or on how you view the mortgage market with the new regulations with [Indiscernible]
John Shrewsberry: No, except - one thing I would say is we were ready to go with the original deadline. But, no impact.
Paul Miller : Okay. Thank you very much gentlemen.
Operator: Your next question will come from the line of John McDonald with Bernstein. Please go ahead.
John McDonald : Hi, thank you. Just a question, John, on the efficiency ratio. You’re at the high end of your range last couple of quarters. Do you see opportunities to drive down the efficiency ratio prior to rates going up or is it more likely to stay still at the upper-end of the range until we see interest rates move higher?
John Shrewsberry: I think it's going to stay in the upper part of the range until revenue moves higher, which will probably happen as a result of - or at least most meaningfully over a short period of time because of rates moving higher. We are spending the money that we think we need to spend to run a great business today and manage risk, as well as invest in the future around things that customers want, things that we need to be a well run, resilient, compliant, risk managed, technologically savvy firm, and that gets us to 58 plus or minus percent, which I would remind you is a very good number for a bank of our size. But, yes, there is no near-term path or project to try and drive ourselves down in the range. We are trying to operate where we have been, accomplish all the things that we need to accomplish and deal with the reality that we are in a below 3% GDP growth environment, in a zero rate environment, neither of which is as hospitable as some other environments might be for revenue growth in banking.
John Stumpf : And, John the – but we're always, as you know us and you know us well, we continue to look for opportunities to simplify the business, streamline the work we do so we can repurpose those dollars into things that are important to customers, important to risk management, other things here. So the development that we are doing and image capture in our branches or our stores, the different things that we invest in payments, cyber and all the other things that we do, we are self-funding through being very thoughtful about where we spend our money.
John McDonald : Thank you. And one other question, guys, could you comment on the market and what it's like for additional portfolio purchases? I assume it's very competitive, obviously, GE has got some other assets out for sale. And just in general, nothing specific but more general, what are the pros and cons when you look at portfolios to purchase and kind of how do you feel like the markets like for that?
John Shrewsberry: So, it's very competitive, and I think that this current set of assets that's being offered for sale is being viewed by some people as the biggest opportunity in a long time. Some of the assets or platforms are suitable for non-depository institutions and I would say that non-banks interested in creating a lending platform would appear to be willing to pay a bigger premium than people who have an existing platform and are looking to add customers and assets to it. All of these do require financing in one form or another. So that can be either a limiting factor or for the easier to finance assets, I guess, that can be a benefit for people who don't have deposit bases in order to bid. But very competitive, it’s how I would describe it.
John McDonald : Okay. Thank you.
John Shrewsberry: Yes.
Operator: Your next question will come from the line of Betsy Graseck with Morgan Stanley. Please go ahead.
Betsy Graseck : Questions, one on other income and one on the wealth business. You called out on other income that you had a $426 million impact from the debt hedges. I just wanted to make sure I understood what that was driven by - I know you indicated rate moves. Just want to make sure I understand is that the long-end of the curve. And does it have any relation to the fair value hedges that you put in the 10-Q, the $173 million. So, wanted to make sure understand how that works.
John Shrewsberry: Sure, so for some of the debt that we issue, we swap it back to dollars and swap it back to LIBOR and so we've got perfect cash flow hedges on where we choose to do that. The accounting for that requires the liability on the one hand and the hedge on the other to be discounted using different discount rates and so over the life of both instruments, there can be some noise in the P&L. We've had a benefit in the past and this time we had a negative and it was driven by a few things, but mostly by the major movements in longer-term swap rates in dollar, Sterling and LIBOR during the quarter. And the net impact from the quarter is, as it was described in the materials. So I’d just point out, this is sort of a – call that’s a timing difference, an accounting difference, it nets back to zero over the life of the liability. So we don't think of it as a real economic issue, but it creates noise in the other non-interest income line item.
Betsy Graseck : Okay. So the net was $426 million, not the $426 million plus the $173 million from the fair value hedges in the 10-Q?
John Shrewsberry: Correct.
Betsy Graseck : Okay. Okay, separately on wealth. I've been just reading some articles recently that talked about how - and you can tell me this is correct or not, but how the focus is not really on increasing the number of FAs and obviously we see flat FAs in the release you put out today, but more on the technology and the investment spend there. Is that accurate, number one and number two, could you explain how you are looking to advance the technology platforms that you got in this business?
John Shrewsberry: Sure. So, I wouldn't say that it's an express strategy to not increase the number of FAs. I don't think that that's necessarily the primary driver of value creation in the long-term for David Carroll's business. You may see that differently, John. The point on technology is a good one. There are a number of initiatives underway in that business to modernize and to create service capability to attract new investors and to better serve the investors that we have. And that turns up in the – sort of primary systems that our financial advisors use to interact with our customers. It will turn up in our mobile and online offerings that allow people to do more for themselves and at some point, it could even include service or capability that competes with some of the sort of the robo advisory people out there today who rely primarily on technology to construct portfolios and make offerings to customers. All of those things are opportunities for us to make the business even stronger and more relevant going forward on top of what we feel is very good performance over the last few years.
John Stumpf: Yes, and Betsy we see this really is one of the most attractive growth opportunities in the company. If you think of how we are positioned as a broadly diversified company serving customers, one in three Americans, one way or another, Americans are living longer. They are probably convinced you have to be more reliant on their own resources for the retirement. And we have 10% to 11% of the deposits in the country and yet, only a fraction of that as far as where we manage well. So this is a big opportunity and investments in people and systems and capabilities, but that should in no way, the growth -- we've already done great work. David Carroll and his team have done incredible. I mean, think how many companies out there would love to have the way we monetize and the way everybody else does $602 million of after-tax earnings for a quarter, 26% margins, these are very, very good numbers.
Betsy Graseck : Got it. Thanks.
Operator: The next question will come from the line of Mike Mayo with CLSA. Please go ahead.
Mike Mayo : Hi, a factual question. What was the amount of your debt hedge loss in the second quarter? You mentioned that other income is down $426 million, was that the amount of the debt hedge loss or is it different?
John Shrewsberry: It was - we had a $127 million gain in the first quarter and $193 million loss in the second quarter. And again, I just want to describe that as the accounting treatment for the hedging program that we have there. But, so, think of this – that the delta between Q1 and Q2 as what creates the more outsized numbers.
Mike Mayo : So normal would just be zero?
John Stumpf : No, normal would be around zero. You’d expect it to be zero over its life. Sometimes it's a little positive sometimes it's a little negative. And it's driven by swap rates and currency movements in the currencies where we issue.
Mike Mayo : All right. The more important question from me, you mentioned repricing in wholesale businesses and at – what are you doing there as it relates to your market-sensitive revenues?
John Stumpf : What we repriced in wholesale is deposits and for a variety of customers, the ones who seem to have acted most strongly in the deposit area were FIs, which for all the reasons you could imagine how relatively low value liquidity deposits and so, we have – we’ve been paying less for those deposits or in some cases, and in some jurisdictions, have been charging a little bit for those deposits and that's what we were referring to.
Mike Mayo : What are you seeing in pricing in your market-sensitive businesses more generally? And is that one reason why your – this is the lowest trading quarter you've had since the third quarter of 2011 and we'll certainly take the other revenues in lieu of trading. But, are you pricing some of those activities away? Is it simply the markets weaker? What's going on there? But especially as it relates to potential repricing or the competitive environment?
John Stumpf : Yes, you know, it's not as a result of Wells Fargo specific pricing strategies. It's just the chips falling where they did in terms of flows, volumes and other activity in the business. And as you know, in our trading business, we have what you are thinking of which is market-making and customer accommodation activity but we also have the impact of our own deferred comp program, et cetera, which makes that line a little bit noisy. But it's not as a result of any conscious business decision to price things differently to do any more of this or less of that it's just where the quarter fell.
Mike Mayo : And then lastly, and so is pricing getting better, worse and if so, what areas within the market-sensitive areas?
John Shrewsberry: I wouldn't say that pricing is getting any better. You would think that pricing might be getting better in areas where other banks are pulling back from providing financing or liquidity to customers, which is part of the discussion around how some of the bigger trading-oriented banks have been providing repo, providing securities finance, et cetera, and have limited their appetites. But prices haven't gone up that much. I think capacity has come out and people have had to figure out how to deal with that. So, at the moment, it's still very - it's as competitive as it ever was and the pricing reflects that, but not because of conscious strategies.
Mike Mayo : All right, thank you.
John Shrewsberry: Thanks, Mike.
Operator: Your next question will come from the line of Eric Wasserstrom with Guggenheim Securities. Please go ahead.
Eric Wasserstrom : Thanks very much. I just had one question to clarify the loan growth expectations. And if I look at the core loan growth, it's growing about excluding the GE transaction and run-off, it's growing at about almost four times nominal GDP, which would be at the higher end of the historical norm. So, I just want to make sure I understand, John, your comments about expectations of maybe some incremental leverage across both commercial and consumer. But I wonder to what extent it may in fact that may already be occurring and the GDP number will move to reflect that rather than an acceleration in loan growth?
John Shrewsberry: That's good question. We don't model loan growth necessarily as a reflection of prior quarter GDP. But it's an interesting relationship. I think our point is that the areas where we've been experiencing organic loan growth all are still very active. We are still very competitive. We are getting more than our fair share in most of those categories. We've got further to run in car and I’d say than other people because we are starting from a smaller base. And then in some of our material businesses, we've got customers who have been holding back on their borrowing capacity. So in the corporate - but in the commercial space in particular where we are a very big player, our customers are still very cash-heavy, which is reflected in our deposits and have maintained very low leverage profile. So that if they got a little bit more enthusiasm around M&A, around organic growth or building a new plant, et cetera, expanding their businesses, they have lots of debt capacity to do that, and we’d expect to see some of that in line utilization or demand for funded assets. But, the real takeaway is that we're very well positioned in all of our key lending markets and competing well today. And in those areas where there might be incremental drivers of demand and we hope to benefit from it when it happens. And then, of course, we are working on a few strategic or inorganic activities as well.
Eric Wasserstrom : Sure. Thank you for that, and just one clarification question. Did you indicate how much your legal accrual was for the period?
John Shrewsberry: We didn't. We’ve indicated the size of operating losses in total. The amount of the change and the amount of the changes reflected – reflects increased litigation accruals, but we don't split that out from our other operating losses.
Eric Wasserstrom : And are those legal accruals for issues related disclosed in the 10-K or for new ones?
John Shrewsberry: It's for a variety of matters, most of which you would already be familiar with.
Eric Wasserstrom : Okay, all right. Thanks very much.
Operator: Your next question comes from the line of Matt O'Connor with Deutsche Bank. Please go ahead.
Matt O'Connor : Good morning.
John Shrewsberry: Hey, Matt. Good morning..
Matt O'Connor : I know there's been some talk about working on becoming more efficient, just kind of continuous improvement. But do you have some formal initiative underway? I guess there was an article in a regional paper a couple months ago and it mentioned something called E&E, or something along the lines of that?
John Shrewsberry: Yes, that's – as John was mentioning earlier, we are trying to repurpose our expense dollars to their highest value area. And so there is a collection of programs and ways of doing business, of thinking about how we spend our resources that are designed to do just that. So it's an internal, it's a relatively formal program. It's around some operational improvements. It's around some of our staff functional alignment. Some of our technology spend, et cetera, and it really is designed to make sure that where we are spending money and of course we spend a lot of it that we are putting it in the most impactful places.
Matt O'Connor : Is it the kind of program where, if we don't get rates increasing and a stronger economy, then you can kind of redirect some of the savings more to the bottom-line versus investing in other areas?
John Shrewsberry: Well, dollars are fungible, but as the way we are thinking about it is, we are directing those dollars toward places they are going to make a difference for customers which would drive revenue. And they could see bottom-line improvement as a result of that. But as I mentioned in response to an earlier question, it's not really designed to drive us down in the efficiency ratio or to drive total dollars of expense down. All things being equal, it's designed to make sure that we are spending the money that we are spending in the most impactful place.
Matt O'Connor : Okay. And then just separately on the net interest margin, as we think about the trajectory from here, assuming rates don't increase, what should the path of the NIM be?
John Shrewsberry: Well, it's going to depend on what happens with deposits versus loan and other earning asset growth primarily. So, if we continue along the path that we are on right now, then you would think that it would probably stay in or about this range. There is not much else, deposit pricing is quite efficient here at 8 basis points. So, as we get more invested, as we add more loans and if we convert cash to higher yielding assets then that should be an improvement. Over the course, if you fast forward it to few years, we'll probably be layering in more senior unsecured in connection with TLAC. That will probably have a negative impact, although relatively modest in the overall scheme of things. We still expect net interest income in 2015 to be higher than 2014, which is frankly, the most important thing, all things being equal and that's what we are driving toward.
John Stumpf: Let me just go back to the expensing just one more time so we are all on the same page. There is talk on this call, and of course, we listen to what the Chairwoman of the FED has to say about rates. But when we plan internally here, we don't consider rate increases as part of the ongoing justification for an investment in anything. So in other words, we don't – you would not hear a language like, I want to make this investment because when rates turnaround and go back up, then this justifies, this investment will be justified. We don't know what's going to happen to rates and if rates do increase, either long-term or the short-end or both that's a benefit to us. But, for the last five six years, you could have said the same thing and it didn't happen. So that's why there is a continual consideration here and pushing ourselves and our thinking to eliminate work that's no longer beneficial, taking out processes that don't add values and investing in places and things that do add value and make us more competitive, more nimble, more relative to the constituents that we serve.
Matt O'Connor : Great. Thank you.
John Stumpf: Thank you.
Operator: Your next question comes from the line of John Pancari with Evercore ISI. Please go ahead.
John Pancari : Good morning.
John Stumpf: Good morning.
John Pancari : Just a couple quick areas I want to ask about. On the commercial loan yields, it looks like they were up pretty solidly 7% to 8%, or 7 to 8 bps or so for the quarter. Just want to see if we can get a little bit of color on what drove that?
John Shrewsberry: Sure, so there is a handful of things. I mean it's the mix of the assets that we are adding to that portfolio from one period to the next, which reflects customer activity, customer demand, both in terms of what's rolling on and what's rolling off. Also, you are seeing in that calculation, the impact of having swapped portions of that portfolio from floating to fixed, because that impacts the yield. We've done that partially as the recognition that we think we are going to be in a lower long-term rate environment for a longer period of time than we might have previously thought. So, that impact is – runs through there as well, still asset-sensitive, but not waiting forever for rates to begin to move in that portfolio.
John Pancari : Okay, all right. That's helpful. And then on the credit front, back to the energy thing, just real quick, any clarity on how much of that increase in the energy-related non-accruals were E&P versus oil service, and then separately, it sounds like some of this movement may have been related to the shared national credit exam. Was there anything non-energy that may have been - any takeaways out of the shared national credit exam that may have impacted your non-energy portfolio?
John Shrewsberry: So on the first question, like - remind me the first question again.
John Pancari : Yes, just of the…
John Shrewsberry: E&P, it was predominantly all E&P. The services credits have – first of all, they don't go through the exact same, there is no borrowing base re-determination to occur in services companies; it's more like any other corporate in terms of how they are reviewed. But the impact has not been felt there in quite the same way as it has with E&P companies. And then back to the shared national credit review, in terms of the negative outcomes or the suggested downgrades, it really was primarily an energy set of conclusions this time around.
John Pancari : Okay, all right. And then lastly, the home equity portfolio, just one of you can give us an update there. As you are seeing some of the lines exit their draw periods, want to see how those credits have been performing and you're seeing any migration there.
John Shrewsberry: Well, we've been – as we've talked about, ahead of this end of draw expectation for sometime now, because it was pretty easy to schedule and we are going into a couple of years when those 10-year draw periods will be coming to a close from the heaviest periods of issuance right at the – prior to the turn of the cycle and, frankly, I’d say, we are experiencing a better outcome than we originally imagined in part because of our – because of our - the focus that we've had, the team that we've had facing, the proactive work that we're emphasizing trying to get people refied into something that is suitable or more tolerable for them to repay. So, things are going well.
John Stumpf: And losses in that portfolio this quarter are in the 56 or 57 basis point range.
John Shrewsberry: Yes, very tolerable.
John Stumpf: Very tolerable.
John Pancari : Okay, on that front, I mean, do you know how much – what percentage of your 2005 originations may have been refied already or worked down?
John Shrewsberry: I don't – right I don’t at the - on this call, our real estate group certainly knows, because that's how that's been managed. So they'll know what they have left and what is gone already. But, when I'm focusing on when I say that there is a plan underway that's being executed that's working, of course for the ones that are still there and then have it refied out.
John Pancari : Got it. All right. Thanks for taking my questions.
John Shrewsberry: Sure.
Operator: Your next question will come from the line of Marty Mosby with Vining Sparks. Please go ahead.
Marty Mosby : Thanks. I had a question on – you talked about the duration of the balance sheet and you are doing that through swaps and through investment portfolio purchases. Can you give us a feel for, half-a-year, six months, is it nine months and how far do you want to go in the duration of the portfolio or the overall balance sheet? So, how far are we along that process?
John Shrewsberry: So, when we use the term duration, we are using it in that context, but not to define a duration of the balance sheet, but really to think about using those tools, the investment portfolio and loan portfolios to impact our overall asset or liability sensitivity. And so the net conclusion of that is that, not terribly unlike where we were at our last Investor Day. We find ourselves still asset-sensitive. We mentioned a year ago, May that we thought that we were – we had probably 10 to 30 basis points worth of net sensitivity – net benefit from a 100 basis point instantaneous parallel movement in rates. Very stylized example. And we are less asset-sensitive. If we were at the mean then, we're at the lower-end of that range today we believe. It's probably a conservative estimate. We - that's how we generally calculate things. But by adding securities, by swapping floating rates to fixed, and other actions that have occurred in the growth of the business, we've made ourselves a little bit less asset-sensitive because of the belief that we could be in a lower rate environment for a longer period of time and we are earning today rather than maintaining all of that sensitivity for the future. We still have plenty of it and we'll develop more of it as time passes, but that's how I would answer that question.
Marty Mosby : And would you see any more lengthening in the near-term, given the steepness of the yield curve now gives you an opportunity to kind of productively use that to your advantage?
John Shrewsberry: I would expect that we’d continue to be adding securities to our securities portfolio, for sure.
Marty Mosby : And then lastly, the mortgage banking pipeline was very strong going into the second quarter. It looks like the pull through was about as low as we've seen in the last year. I was just curious if there was any operational issue or anything that happened during the quarter? Was it just refis that never got closed? What was kind of the difference in the pull through for this particular quarter?
John Shrewsberry: There is nothing that I would point to. We -- the production occurred the way we would have expected it to. We ended with a relatively long – relatively large pipeline as well. So, nothing different there.
Marty Mosby : Thanks.
Operator: Your next question comes from the line of Kevin Barker with Compass Point. Please go ahead.
Kevin Barker : Just a quick follow-up on the some of the mortgage banking results, you saw margins remain pretty strong compared to what you've had over historical basis and they were strong in the first quarter despite the decline in the primary/secondary spread. Now the front-half of the quarter looked a lot stronger than the second half of the quarter. Could you just give us some detail between the differences what you saw in maybe April and early May versus what you saw in the back half of the quarter?
John Shrewsberry: Yes, it's tough to be that precise about it although I'm sure there are people in Wells Fargo Home Mortgage who are thinking about it as granularly as the question that you are asking. Certainly, in the first quarter as rates rallied hard and that pipeline really, really grew, applications came in at an increased pace. The capacity constraints to deal with that both at Wells Fargo and in the industry are supportive of higher margins as people use their scarce capacity as beneficially as they can. So you'd expect, if that's a high point for things to slip a little bit from there. In terms of where they've gotten to and where they are now, we expect them to continue to be in that range. The full range, frankly is a pretty attractive place to be operating. And as long as we can stay higher in the range like we have, we’ll be thrilled to that to happen. There is also, from one quarter to the next, the mix between what's happening in retail versus what's happening through others is going to influence our gain on sale and that might look different from one originator to another. I think that's an important consideration. But, I mean, frankly, I would look at it quarter-to-quarter and then seasonally adjust it to think about what the steady-state is. But the last thing I'd say is that we are - again, we're pretty happy with where things have remained, given how competitive that market is, given how much capacity there is and we're happy to be operating here.
John Stumpf: Yes, I think, just to support John's comment, I remember when gain on sales - years ago were 40, 50, 60 basis points. So the pricing discipline, even with the capacity and the size of the market is a – I think a good thing for Americans, good thing for borrowers, good thing for the originators, because we are getting paid for the work that we're doing, the value-add.
Kevin Barker : Okay and then just to mention - follow-up on some of the comments on the extension of the duration of the balance sheet this quarter with the use of interest rate swaps. Could you provide some more details on why you are increasing your duration at this point in the cycle? Is it a change in your view on, whether you want to be patient for higher rates or is there some other reason why you would extend the duration now?
John Shrewsberry: So, what's been happening for a while, we are talking about it a little bit more now and maybe it was a little bit starker in this quarter because deposit growth slowed also, so you saw cash balances go down while both securities and loans went up. But as you suggest, it’s regardless of what's happening with short-term rates and over what period of time that normalization of policy occurs, it's our expectation that the longer-end of the curve, that we are going to be lower for longer than we would have thought six months ago, a year ago, or a couple of years ago and how we are managing the balance sheet is a reflection of that.
Kevin Barker : Is there anything specific that you are seeing that would change your view that has changed your view in the last six months?
John Shrewsberry: Well, in the last 6 to 12 months, I would say, what's happened with rates around the world has been a big reminder that a 2.5% US tenure is a really attractive asset and could be for a really long time. So that's why I say regardless of what's happening with Fed funds, we are preparing ourselves for a long march on - at the longer end of the curve. And if we are wrong, we have to be prepared for that in terms of what it means to capital et cetera, and we certainly are and we - that drastically to make sure that we've protected our balance sheet. But in the mean time, we are getting our assets more productively deployed. I would point out, there is still $250 billion worth of cash in the bank. So there is plenty of short-term liquidity and dry powder for what happens if we are wrong and there are more attractive entry points on the way back up, if that were to occur, but it's a good question.
Kevin Barker : Thank you for taking my questions.
Operator: Your last question will come from the line of Nancy Bush with NAB Research, LLC. Please go ahead.
Nancy Bush : The best for last.
John Stumpf: Always. Hi, Nancy.
Nancy Bush : Hi, couple questions on the mortgage front. JPMorgan Chase reported a very strong production quarter in jumbo mortgages this morning. How are you guys positioned in that market and what percentage or rough percentage of your production are jumbos?
John Shrewsberry: About 25% of our production are jumbos and that includes, of course, many of our most valuable customers in terms of the breadth of the total relationship. We carry them on our balance sheet as you know.
Nancy Bush : Right.
John Shrewsberry: And, I think the total category right now for jumbos on our books is about $120 billion, $125 billion of the - call it $1.7 trillion overall.
Nancy Bush : Okay. And just a question on the mortgage business as a whole, I mean, do you consider at this point, given all the gyrations we've had in the mortgage business in the past ten years, are we at what you consider to be, a normal mortgage market right now and are you staffed appropriately for that market or where does sort of the mechanics of the mortgage business stand for you right now?
John Shrewsberry: So, in terms of staffing, I am sure it's true that we are probably a little bit heavy in some areas around loss mitigation and working NPA's and foreclosed assets through the system versus where we might be in a completely normalized point in the cycle just because they are still elevated. So there is probably opportunity there over some period of time. From a policy normalcy point of view, there is still other things happening, whether it's agency reform, the relationship between the FHA and the industry is still not completely settled and that has to happen for people to feel good about things. We are still in those second - no meaningful secondary market for non-conforming loans and there was a good one for prime, jumbo loans that existed pre-crisis and so at some point that probably has to re-emerge and that hasn't happened yet. But, we are just as committed to the business. It's a very important part of the relationship between us and our customers, because buying and financing a home is one of the most significant things our customers will ever do. We enjoy our status as the largest mortgage servicer in the land and our status as the largest mortgage originator as well. So, we are working hard to try and shape good outcomes in those areas that are still unsettled and we are making the most of it during the period that we are in.
John Stumpf: And, Nancy, it's an insightful question because I think part of the distinguishing features of big scale players in this business where you are successful or not is how quickly you can scale up when business opportunities present themselves and how quickly you can scale down. And, we think we are pretty good at that among other things. And some are surprised that mortgage market has not come back stronger, but we went through a pretty deep downturn. This was the asset class that had the problem in 2008 and 2009 and it steadily – and it's improving and healing. But it's going to take time. And so, like John said, we really like this business for a whole host of reasons.
Nancy Bush : I would just ask as an add-on question, Bank of America talks about their legacy asset servicing, et cetera, which is mostly mortgages that were still on the books that they are working out. Where are you guys in - working out any problems you got through the Wachovia deal, et cetera? I mean, are you pretty much through the workout period now with most of that stuff?
John Stumpf: Well, the pick-a-pay was probably the most problematic of that portfolio and that came over - let's say in the $120 billion range - $120 billion or so; and it’s $54 billion give or take now. And the average loan to value in that is in the 60s.
Nancy Bush : All right.
John Stumpf: So, and if you look at -- if you look at the overall servicing portfolio we have, it's 94%, 95% current and so it’s - we've -- still issues going through there, there is some judicial foreclosure states that we are still having to work through. But for the most part, it's performed above our expectations, especially with respect to the Wachovia part and I think we are in the later innings of working on this and as John mentioned, there is some opportunity to take some cost out. The cost of servicing a current loan versus one that's delinquent is such a big difference. So, when people look at these portfolios you like to look at the past dues, because it really – and the ones in the foreclosures because that really skews the costs on those.
John Shrewsberry: I know that this is clear in the materials, Nancy, but we are – where our non-strategic or wind down portfolio is picking down at $2 billion to $3 billion per quarter and there is $50 billion odd of it left. So, the tail of it will be here for a while.
Nancy Bush : Okay. All right, thank you very much.
John Stumpf: Thank you. Well, this concludes our call. Thank you again for spending time with us. It's always enjoyable for us to represent our 265,000 team members and the work that they do every quarter and John and I and Jim will see you on next quarter. Thank you very much.
Operator: Ladies and gentlemen this does conclude today's conference. Thank you all for participating. You may now disconnect.